Operator: Good day and thank you for standing by. Welcome to the Agenus Third Quarter 2021 Financial Results Conference Call. [Operator Instructions] I would now like to hand the conference over to Divya Vasudevan. Thank you. Please go ahead.
Divya Vasudevan: Thank you, Timya and thank you all for joining us today. Today’s call is being webcast and will be available on our website for replay. I’d like to remind you that this call will include forward-looking statements, including statements regarding our clinical development, regulatory and commercial plans and timelines as well as timelines for data release and partnership opportunities. These statements are subject to risks and uncertainties and we refer you to our SEC filings for more details on these risks. As another reminder, this call is being recorded for audio broadcast. Joining me today are Dr. Garo Armen, Chairman and Chief Executive Officer; Dr. Jennifer Buell, Chief Executive Officer of MiNK Therapeutics; Dr. Steven O’Day, Chief Medical Officer of Agenus; and Christine Klaskin, Vice President of Finance. Now, I will turn the call over to Garo to highlight the progress we have made to-date this year. Garo?
Garo Armen: Thank you very much, Divya and thank you all for your participation and your interest in Agenus as well as MiNK Therapeutics. As we have shared previously, our business model is comprised of four pillars. Now for today’s discussion, I will redefine what those four pillars are. And we will primarily talk about pillar number one, two and three. I’ll make some broad comments about pillar number four. The first pillar is what we describe as our significant value creators. We believe these compounds and opportunities could be significant. And they represent certainly our next generation compounds in one primary example of that, which we will talk about in some detail today is our next generation CTLA-4inhibitor, AGEN1181. The second pillar is represented by our partner programs and recently launched affiliated businesses, including MiNK Therapeutics and SaponiQx. The third pillar we describe as supportive programs, such as balstilimab and zalifrelimab. And I will define what we mean by supportive programs in just a bit. And our fourth pillar, which is a silent component of our business, we don’t talk very much about it, but a very important component, because without it, we wouldn’t be able to accomplish the kind of things, innovations and advancements as we have. And that is represented by our vertically integrated structures comprised of key operational capabilities for the company, including our commercial manufacturing, including our vision technology, which is our response prediction platform designed to facilitate the development of our pipeline by targeting patients who are likely to respond to therapy. Now, I would like to begin the call by addressing the first pillar, which is driven by our flagship program, AGEN1181. Now, as you know, we have a SITC presentation coming up. This morning, we announced the SITC publication of an abstract summarizing data from a dose escalation study of over 100 patients treated with our next-generation CTLA-4 inhibitor, AGEN1181 as both monotherapy and in combination with our PD-1inhibitor, balstilimab. More details will be presented this Friday. I will provide a top line summary here. AGEN1181 is the first reported CTLA-4 inhibitor to demonstrate clinical activity in 9 cold or treatment resistant tumors as monotherapy and in combination with balstilimab. Secondly, AGEN1181 monotherapy and in combination with balstilimab has shown compelling clinical activity and durable responses across a number of cold tumors, such as colorectal, endometrial, pancreatic cancer. And they have been, as I said, in treatment resistant settings, such as PD-1 relapsed and refractory melanoma, non-small-cell lung cancer and cervical cancer. Importantly, we are seeing evidence of more favorable safety profile relative to first generation CTLA-4 molecules. Also, AGEN1181 is performing as designed. We designed this move for a specific performance and so far in the clinic, it is indicating that it’s delivering that performance and that is to expand the benefit of immune therapies to a broader patient population with deeper, more durable responses than what is available to them today. Dr. Steven O’Day will share additional comments along with our plans to accelerate development of 1181 alone and in combination with balstilimab. As I mentioned earlier, full details of this will not be released until the poster is released this Friday at the SITC Conference, this Friday, November 12. Next, I would like to address our second pillar of our business model, which include our recently launched affiliates and partner programs. As you know, amongst our accomplishments with regard to our second pillar is the launch of these businesses. To start with, on October 15, we announced the successful IPO of MiNK Therapeutics, which has raised over $40 million at a valuation of $400 million. We are pleased that MiNK has been one of the best performing IPOs recently, having appreciated 58% as of the closing price rate yesterday. Dr. Jennifer Buell, the newly appointed CEO of MiNK Therapeutics will tell you more about MiNK programs and share a preview of the three abstracts, where we announced recently which will be presented at SITC this week. Now, separately in September, we also announced the launching of SaponiQx. SaponiQx is our subsidiary working on building an integrated vaccine platform based on scalable and secure manufacturing of saponin-based adjuvants. This premise behind SaponiQx business model is captured in the following. And I will outline this in four different categories. Firstly, the need for vaccines offering long lasting efficacy and efficient production has become amplified because of the needs as described by the current reality, which is the pandemic. Secondly, the durability offered by QS-21 Stimulon, which is our flagship adjuvant, has been validated by SHINGRIX, which protection – which offers prediction exceeding 9 years and this is particularly important in the current climate, where we know the current vaccines are waning in activity after 3, 6 months and whereas QS-21 Stimulon is largely responsible in SHINGRIX for this long-lasting efficacy. But on the other hand, the supply is limited due to the reliance on a complicated and extensive extraction process from the Chilean soapbark tree. So to this end, we are working with two companies, Phyton Biotech and Ginkgo Bioworks to optimize the plant cell culture process, which we have developed for the purposes of manufacturing QS-21 Stimulon and next generation saponin-based adjuvants. This is very important, because some of our next generation saponin-based adjuvants are particularly relevant to respiratory viral infections. Among our objectives is to also establish a platform for developing next generation adjuvants effective and scalable vaccine formulations with optimized antigen and adjuvant pairing. And in the future, we will talk about what we mean by that. Now, in addition to this, also part of our second pillar is the driver of our certainly past and also importantly, future partnerships. In October, we announced the first patient dosed with AGEN1777, our Fc-enhanced TIGIT bispecific antibody, licensed to BMS recently. This achievement triggered a $20 million milestone payment from BMS and BMS-intensive advanced AGEN1777 in high priority indications such as non-small-cell lung cancer. We are very excited about the prospects of AGEN1777. Our clinical stage, AGEN2373 is a differentiated CD-137 molecule. It’s a CD-137 agonist. Otherwise, in the past it was known as 4-1BB as well. It is designed to selectively enhance tumor immunity, while avoiding toxicity associated with systemic CD-137 activation. We presented clinical data at ASCO this year showing that AGEN2373 lead to prolonged disease stabilization in heavily pretreated cancer patients with good tolerability, no evidence of liver toxicity, which has been one of the issues with other CD137s. Associated of course with this is the fact that this has been done in a monotherapy setting. And we are of course studying combination trials with this AGEN2377, with our AGEN1181, which is our next generation CTLA-4 in PD-1 relapsed and refractory melanoma this year. Another program involves our clinical collaboration partner, Nelum, which has recently dosed the first patient in a combination study of our first generation CTLA-4 zalifrelimab with Nelum’s hedgehog inhibitor and chemotherapy in first line, pancreatic cancer patients. Now, next is our third pillar, which is our supportive programs and they constitute the third pillar of our business model and our strategy. Now, what do we mean by this? Our supportive programs include balstilimab, our PD-1 antibody and zalifrelimab, our first generation CTLA-4 anybody. These are programs, which are the one do not represent blockbuster opportunities for us. However, in combination with other novel agents in our portfolio or in combination with agents in other company’s portfolio, they represent important opportunities. So, when people ask us, why does the world need another PD-1 antibody? It isn’t that the world needs another PD-1 antibody, but we need it, because we have an extensive portfolio of agents and in the context of developing combinations, our PD-1 antibody will make that job a lot easier, a lot more efficient, and at the end, deliver much more prudent economics to the healthcare system and to patients. Among the important achievements of our supportive programs was this year, we reported at ESMO back in August that the combination of balstilimab and zalifrelimab resulted in near doubling of responses, that is 33% responses versus what has been reported for pembrolizumab in PD-L1 positive cervical cancer patients. Now, let me touch upon some of the recent announcements that we made and the potential implications of those developments for our company, for our portfolio going forward. As you may have noticed, we recently withdraw the BLA for balstilimab monotherapy due to a technicality associated with the accelerated approval window closing for us. Following of course, the technicality associated of the accelerated window closing followed the full approval of pembrolizumab in second line cervical cancer, which the FDA granted the approval 4 months ahead of the FDA goal date. Now, of note is the fact that this BLA withdrawal was not related to balstilimab’s performance. In fact, our agent met and exceeded predefined clinical milestones for this indication, for this trial. Our agent achieved trial endpoints with 20% response rates in PDL-1 positive patients versus 14% reported in pembrolizumab label. And of course, in single arm trials, it’s very difficult to compare these types of numbers to each other, but we are still hoping very much that we showed 20% responses versus 14% responses as opposed to the other way around. Now, we also completed successfully three FDA approved inspections for our PDUFA date of October 16, 2021, with no 483 cited, which is a very big achievement for our company, our organization and we are very proud of that. Given the clinical benefit demonstrated by balstilimab, we are planning to launch expanded access programs to give patients and doctors access to balstilimab in several countries, perhaps including the U.S. pending the regulatory process associated with expanded access. As a result of our BLA withdrawal, we also announced discontinuation of our balstilimab confirmatory trial product, which is expected to reduce our R&D expenses by over $100 million over the next couple of years. Now with these developments, we expect to end the year with approximately $250 million in cash to execute on our combination development programs for AGEN1181 and beyond. Now, let me pause here and address two frequently asked questions that have been put to us. One is the fact that we withdrew the BLA for balstilimab, does that impact our development programs going forward, that involved balstilimab, for example, balstilimab plus 1181, does it impact it? Now, before I answer that question, let me address the fact that we have amassed an enormous amount of safety information in over 400 patients treated with balstilimab. And as I mentioned, we have shown clear activity of balstilimab certainly in cervical cancer, where we treated a substantial number of patients, but also in other indications. So, we have a highly active PD-1 antibody. Now, with regard to how will this withdrawal of the BLA affect our next steps going forward with combinations? We are certainly going to use the data or the efficacy data that shows the activity of PDL-1, I mean PD-1 antibody as well as the safety of it. We are going to use this going forward in our justification of combinations. And given the way we have designed our trials, we do not expect – at this stage, we do not expect this to be a hurdle for our expeditious development of combinations. So, that’s number one. The second question that gets asked is because of what has happened with the FDA having requested us to withdraw the BLA, a question such as, are we blacklisted by the FDA now, that’s going to make our lives difficult going forward? Well, we certainly don’t think so. And we certainly hope that that’s not the case, if we provided that we show high activity with our compounds going forward, which we expect to do, which compounds like 1181 alone and in combination with balstilimab, provided that we show profound activity. Of course, anyone stuck in to get in the way of an expeditious approval to bring access to patients would have to be questioned. So, we do not expect that our honorable agency will blacklist us or any other company for that matter, for reasons that relate to what we have experienced. But having said all of that, we plan on proceeding in a pristine fashion with data that will be generated and that could justify the next steps associated with our portfolio of novel agents reaching patients. So with that, I would now like to turn the call over to our Chief Medical Officer, Dr. Steven O’Day to discuss the AGEN1181 clinical update shared today in our SITC abstract. And just to remind you that on Friday, there will be more details associated with the release of our poster that will have more data. So, we will hold back on some of the details today to respect the confidentiality with the SITC rules. Steven?
Steven O’Day: Thank you, Garo and thank you all for joining us this morning. Today, we shared the first presentation of clinical data from a dose escalation study with over 100 patients treated with AGEN1181 as monotherapy or in combination with balstilimab. The patient population was heavily pretreated. Half of these patients received at least three prior lines of therapy, including anti-PD-1 therapies. This makes their response to AGEN1181 even more encouraging. AGEN1181 as monotherapy and in combination with balstilimab was efficacious across a range of tumor types, including cold and poorly immunogenic tumors and PD-1 refractory setting. Both monotherapy and combination therapy were well-tolerated with no observed cases of hypophysitis, pneumonitis or high grade hepatitis, which you may know are clinically meaningful toxicities of first generation CTLA-4 based therapies. We have established our recommended Phase 2 dosing for AGEN1181 monotherapy and in combination without balstilimab. As of the abstract cutoff date, which was July 16 2021, we observed 4 confirmed responses to single agents, AGEN1181. These include a complete response in a patient with microsatellite stable endometrial cancer, a partial response in pancreatic cancer and a partial response in cervical cancer following failure of anti PD-1 therapy. To our knowledge, these are the first reports of response to CTLA-4 monotherapy in these specific disease settings. Our fourth response was in a patient with melanoma with failed prior anti PD-1 therapy. We also observed significant benefit of the combination of AGEN1181 with balstilimab across multiple cold poorly immunogenic tumors. Among 17 evaluable MS stable colorectal patients treated with at least 1 milligram per kilo of AGEN1181, we observed four partial responses and 7 cases of stable disease or disease control rate of 65%. Just to put this in perspective, multiple trials have demonstrated limited to no activity of PD-1 inhibitors alone or in combination with first generation anti-CTLA-4 in MS stable colorectal cancer. The efficacy that we have demonstrated in this setting to-date highlights that AGEN1181 is a differentiated anti-CTLA-4 and has potential to address this high unmet need. Among 6 evaluable ovarian cancer patients receiving at least 1 milligram of AGEN1181, we observed two partial responses and three cases of meaningful stable disease. We also observed clinical activity in other GYN tumors with the combination, including partial responses to both of our MS stable endometrial cancer patients who were treated with combination therapy. Finally, additional combination responders, including one partial response in non-small-cell lung cancer patient who had failed prior PD-1 therapy and two partial responses in visceral angiosarcoma, a subtype of angiosarcoma historically resistant to checkpoint inhibition therapy. The majority of these responses are durable and ongoing. I want to remind you that additional patient accrual and follow-up data will be included in our poster presentation at SITC this week, with a cutoff on September 17, 2001 for clinical data. Based on the exciting anti-tumor activity demonstrated thus far, randomized Phase 2 and Phase 2/3 trials are in active development across colorectal, MS stable and GYN malignancies. We anticipate the outcomes of these important trials will strengthen the efficacy and safety signal demonstrated to-date and support a potential filing for full and/or accelerated approval based on the magnitude of benefit demonstrated in the studies. I would now like to turn the call over to Dr. Jennifer Buell, Chief Executive Officer of MiNK Therapeutics.
Jennifer Buell: Thank you very much, Dr. O’Day and congratulations on those results. This will be an exciting conference for us at Agenus as well as at MiNK, which I am going to highlight some of the data that’s coming out now, of course, our abstracts have been released, but the data updates will be presented more fully in the upcoming posters. So, turning to MiNK, I want to just remind you of our goals and in launching MiNK Therapeutics as a separate public entity enabled us a way to create two patient-focused companies with independent financing, streamlines operations, and focus teams to accelerate the development of their collective and independent innovative pipelines. So as Garo mentioned, we launched the IPO and to-date we actually raised $46 million at point, which includes our initial public offering of $40 million and then the green shoe which was also executed most recently and with those proceeds will be rapidly advancing our clinical stage portfolio. Now, we believe that invariant natural killer T-cells or iNKTs represent a potential best-in-class allogeneic cell therapy approach. iNKT is naturally home to the size of the tumor or infection. And we believe that this ability to penetrate solid tumors is a critical advantage compared to T-cells or NK cells and also the capability of the cells to naturally proliferate enables us to expand upon that benefit and the functions of these cells. What we have observed to-date is that other cell therapy approaches have shown limited durable efficacy and solid tumors. And we have also of course observed some more recent toxicity challenges. And what I can tell you that we have publicly informed is that the iNKT cells can be dosed to a billion cells with no neurotoxicity and no cytokine release syndrome observed to-date, very important clinical benefit – safety benefit of these cells. Early data from our clinical trials confirms the rapid translocation of iNKTs from the peripheral blood to the site of interest. And this is consistent with the cells tumor-homing properties. Our SITC posters will present evidence of iNKT cell persistence beyond the time of our measurement period as well as anti-tumor activity, somehow anti-tumor and disease mitigating benefit of these cells from our ongoing clinical trials. We see similar activity in the preclinical settings. We have observed tumor infiltration and anti-tumor activity of iNKTs in both solid and hematologic in vivo models. These data will be discussed in great detail in our SITC poster presentations, which will be published on November 12. We will also be presenting data on our CAR discovery platform, which can further boost the tumor-killing potential of iNKT cells. And at SITC, we will present data characterizing the anti-tumor activity of our proprietary BCMA-CAR-iNKT. We believe that engineering iNKT cells in our own hands as well as has been published by independent researchers that CAR iNKTs or engineered iNKTs outperforms other therapeutic approaches, other T-cell approaches. So together, with the ability to advance combinations with the Agenus’ pipeline agents, including balstilimab as well as AGEN1181, we are so excited to develop a powerful suite of iNKT-based therapeutic regimens. With that, I’d like to turn the call over to Christine Klaskin to discuss our financials for Agenus.
Christine Klaskin: Thank you, Jen. We ended the third quarter of 2021 with a cash and short-term investment balance of $262 million as compared to $100 million at December 31, 2020. For the third quarter ended September 2021, our cash provided by operations was $131 million and we reported a net income of $177 million or $0.76 per share basic and $0.72 per share diluted. This compares to cash used in operations for the same period in 2020 of $32 million and a net loss of $52 million or $0.28 per share basic and diluted. Our cash provided by operations for the 9 months ended September 2021 was $33 million, with net income of $39 million or $0.19 per share basic and $0.18 per share diluted. This compares to cash used in operations of $104 million and a net loss for the same period last year of $145 million or $0.87 per share basic and diluted. Non-cash operating expenses for the 9 months ended September 2021 were $46 million compared to $35 million for the same period of 2020. We recognized revenue of $275 million through September 2021 and $57 million for the 9 months ended September 2020. Revenue includes upfront license fees received, milestones earned, non-cash royalties, and revenue recognized under our collaboration agreements. I would now like to turn the call back to Garo.
Garo Armen: I would like to thank my colleagues for their statements during this call and also thank you all for your interest in Agenus and MiNK Therapeutics and joining us this morning. Looking into the current quarter and beyond into 2022, we expect to achieve value driving events with our clinical and preclinical pipeline. And when we talk about preclinical pipeline, we do expect to take a number of our own discoveries into the clinic over the next months. Firstly, accelerating the development of AGEN1181 and balstilimab by launching our Phase 2/3 trials in colorectal cancer, in ovarian cancer and endometrial cancers is something that we are very much focused on. And of course we are very encouraged with the responses that we have seen which we have disclosed some of it this morning. And you will see additional details this Friday at SITC, but even beyond that as Dr. Steven already mentioned, these responses are of a certain cutoff rate – date. We do expect responses to develop beyond that cutoff date, which will not be released at this meeting this week. Secondly, initiating a combination study or AGEN1181 with our conditionally active CD137 agonist in melanoma this year. Third, advancing our TIGIT bispecific to Phase 1 studies in collaboration with BMS, and this is a very exciting program, as we have mentioned. First, several patients are convinced already. Fourthly, advancing clinical development of our allogeneic iNKT cell therapies, as Jen mentioned, in cancer and immune mediated diseases through MiNK Therapeutics with a data update at SITC this week. And we will have appropriate updates beyond that. Building a sustainable supply of saponin-based adjuvants, proprietary adjuvants that include our QS-21 Stimulon through SaponiQx. Launching a standard access programs for balstilimab and providing an update regarding the strategy for balstilimab, zalifrelimab combination in second line cervical cancer. Now, this is a very important program that we undertake seriously, because we have had a number of requests, including from our physicians, who have been engaged in our trials. And it is our moral responsibility to make sure that we provide access to the products that are active on terms that are going to make the patient treatment streamlined. Continuing to advance novel programs to IND as I have just mentioned, with our next IND filings planned in early 2022. And of course, integration of our VISION intelligence platform to support discovery of rational drug combinations, selection of new targets, and addictive biomarkers beyond what is commonly practiced today. And lastly, progressing construction of our facility, fully integrated facility for commercial manufacturing in Emeryville, California. And this is a very important undertaking for us, because it will make Agenus self reliant in its ability to deliver products without dependence on third-parties, which is particularly important in today’s environment with significant capacity constraints and supply chain issues. And once again, thank you very much for your attention. We will open it up now for questions.
Operator: [Operator Instructions] Your first question comes from the line of Mayank Mamtani with B. Riley Securities.
Mayank Mamtani: Good morning team. Congrats on the progress on multiple fronts. And thanks for taking our questions. So, maybe if I can start with the 1181 data abstract at SITC, just a couple of quick questions I have. So, on the 24% ORR we are seeing on MSS CRC here? Could you just give an update on where we are in terms of median follow-up with these patients, just trying to understand the durability and depth of response that you are seeing? And then also on the unconfirmed PR, we have in PD-1 refractory non-small cell lung cancer, just it would be helpful to understand the baseline patient characteristics and also how many lung cancer patients you have already in the cohort enrolled?
Garo Armen: Okay. So, let me answer the question broadly. And then of course, we are going to ask Dr. O’Day to provide more color. I would caution against assigning response rates, even though we are very pleased with the responses we are seeing in such a trial, where we have gone through a dose escalation process. In the beginning certainly, the doses used were not necessarily optimized doses. So, to take the denominator and the numerator and mixing and matching this probably is not an accurate depiction of the response rates in this trial. Now, in addition to that, of course, in terms of certain cohorts, because of the high science that we are engaged in here at Agenus, we really dissect the patient profiles based on a whole bunch of predictive and other biomarkers. And so patient selection criteria is going to be much more precise going forward into our Phase 2 and 3 trials. So with that Steven, if you could address Mayank’s question?
Steven O’Day: Yes. Thank you, Garo. Thank you for the question. I think what we can say is obviously that the cutoff for this abstract that we are discussing, sorry, was in July and the cutoff for the poster, which will be delivered on Friday of September. And we will be updating the follow-up and the unconfirmed to confirmed responses on the Friday poster. So, I think we should wait and share with you the data. But I think you will see both the development of the further follow-up on the patients and obviously further follow-up in terms of the confirmation of responses.
Mayank Mamtani: I understood. And then my second bucket of question was around, what sort of work you are doing with Nelum. And sort of thinking broadly about, two aspects focused on pancreatic cancer franchise given the first gen CTLA-4 has a signal with a hedgehog, but also you are seeing PR with next gen CTLA-4 here. But I am also broadly curious to hear your thoughts Garo, as you know, you look at other agents targeted our IO that bigger pharma companies have, and you try to prosecute 1181 in certain indications where maybe a backbone therapy might not be within Agenus portfolio. So, how should we think about that?
Garo Armen: So, if you can repeat the point that you are trying to make, the last point, Mayank, because when you say a how should we think about it in the context of large companies portfolio? What do you mean by that?
Mayank Mamtani: Yes. For instance, OBGYN is a big priority for you. I am just making this up, having an access to a part, or another targeted therapy could kind of make sense to become combining with a CTLA-4, for instance. So, how you might be thinking of partnering up with a bigger player here, given the bigger player will also value the importance of 1181 from an IO standpoint?
Garo Armen: Right. So, very good. Now, it’s clear. So, in terms of a couple of points here, one is, in comparing what we can do to large companies, we have several advantages here. Number one, we have a very expensive armamentarium of immunooncology agents at our disposal, these are our inventions. So, mixing and matching and combining them is relatively straightforward for us. That’s number one. Number two, we have a technology such as VISION, which is a very important tool for us, in terms of its ability to be predictive of responses and patient selection. Now, what does all that mean, it means that we could be striving as VISION advances to identifying biomarkers or patient markers that are going to be agnostic to specific indications, okay. That’s not quite there yet now, but I think we are heading in that direction. So, we can envision for example, selecting patients and therapies matching them it regardless of indication, similar to what they have done at big companies, such as Merck, but they have done it in a very crude fashion. We would like to do that much more specifically. Having said that, to address your last question, what is in our partnering strategy, how do we go about thinking about the future now? While we have said in the past is that because of our resource constraints and when I talk about resource constraints, we are not talking about just money, we are talking about overall capabilities and global reach. Because of that, we opted to license things such as AGEN1777 globally. Now, going forward, we have made statements about AGEN1181 saying that a logical path forward for us would be the geographic segregation of the rights. So for example, U.S. rights, we will keep and ex-U.S. rights, we will license that. Now in the context of an appropriate development program, it’s very, very plausible that we may do a global co-development with a prospective collaborator or a partner with these geographies carved out for commercial launch of a product. So and then of course, as we put into place substantial resources over the coming years earned with the performance of our products and commercial launches, I would see us even venturing into taking a bigger share of the global reach for our future collaboration deals. Does that answer your question?
Mayank Mamtani: Yes, very helpful, Garo. Thank you. And if I can squeeze in another one before I pass it on to my colleagues. Remind us of the pro forma ownership in iNKT. And then how should we think of SaponiQx, given the experience you have had iNKT, but also the considerations that are different in terms of partnerships and scale up and capital needs might be very different than what was with iNKT?
Garo Armen: Sure, I will ask Dr. Buell address the iNKT question, and then I will come back to SaponiQx.
Jennifer Buell: Sure. So Mayank, we have what you now have access to is that the Agenus ownership of the MiNK iNKT is just under 80%, its 79%.
Garo Armen: Okay. Now, as far as SaponiQx is concerned. SaponiQx, you could assume to follow pretty much the footsteps of iNKT, our main therapeutics. So, we formed SaponiQx recently, based on the needs that I articulated for an effective vaccine that has long-term long-lasting protection. And as I have said earlier, one of the limitations of current vaccines, even though they are highly efficacious, we don’t know for example, how efficacious they will be to potential new variants, we hope that they will be highly efficacious. But one thing we know for sure is that their efficacy wanes after three months, six months, that is for sure. And of course, the prospects of a booster shot every three months, six months forever is not an appropriate way of strategizing for vaccine. So, having longer lasting immunity is critically important. And the only limitation of QS-21 Stimulon right now is not that it cannot offer that long-lasting limitation, it can, I mean, protection, it can, of course. But we are quantity limited. And hence, the right thing to do for us – the morally appropriate thing to do is to collaborate with governments and potential with other companies to sprint towards being able to manufacture QS-21 Stimulon and other adjuvants data pipe that have very important nasal immunity, mucosal immunity characteristics at a high speed so that we can offer the benefit of QS-21 beyond the number of – limited number of patients that are or I should say, healthy individuals that are benefiting in the context of SHINGRIX. We need to get what we have shown scientifically to be possible with this process. It’s an engineering challenge that could take us to billions of doses of production of QS-21 Stimulon.
Mayank Mamtani: Very helpful. Thanks again for taking our questions.
Garo Armen: Thank you.
Operator: Your next question comes from the line of Kelly Shi with Jefferies.
Jason Bouvier: Hi, good morning. This is Jason Bouvier on for Kelly Shi. Thank you for taking our call and congratulations again on the 1181 data. Just one question on the Bal/Za combo in cervical, you mentioned on a previous call, you need to discuss a possible path forward with the FDA. Can you provide any – do you have any higher resolution on the timing of that conversation? And maybe when we can expect to learn about the outcome of the meeting? And then what do you anticipate that path looking like going forward? Thanks a lot.
Garo Armen: Okay. So it’s not clear entirely yet. But we will have some additional data points that will inform us what the next steps will be, whether there will be next steps by the end of this year.
Jason Bouvier: Okay, great. Thank you.
Operator: Your next question comes from the line of Matt Phipps with William Blair.
Matt Phipps: Good morning. Thanks for taking my questions. Congrats on the update. Dr. O’Day, I was wondering if you could – I realized probably for Friday for a lot of disclosure, but anymore comments on any colitis seen with this combination, 1181, one thing we have kind of been looking at based on the update last year. And then as we were thinking about these Phase 2/3 trials, I wondered if I guess one, any thoughts on the endometrial landscape. We have had two approvals this year for therapy regimens one in the dMMR setting for monotherapy and then [indiscernible] MSS setting. So, I am just kind of curious if you can give us any insight on where you are thinking of going endometrial, assuming that’s one of the gynecological cancers. And then you mentioned Phase 2 or Phase 2/3, any of these potentially accelerated pathways?
Garo Armen: Matt, thank you for these questions. Let me just guide you broadly and then, of course, Dr. O’Day will answer. So, we have made a strategic decision not to discuss the competitive – our next moves with regard to details of our clinical trials design, because of competitive reasons. I mean what happened with Bal monotherapy approval process, of course, highlights how important competitive issues are and timelines are and of course, how important FDA consideration is for reviewing one company’s product versus another company’s products. And so that’s why we are going to be a little bit guarded in terms of how much detail we will provide. But we have discussed this internally. And Steven, feel free to indulge in any kind of detail that we have determined to be publicly disclosed at this point.
Steven O’Day: Yes. Thanks, Matt. In terms of the development, I think Garo had spoken about it. Obviously, we are very excited about launching these trials in GYN malignancies and ovarian and endometrial and more to come on that, we have to disclose further. But needless to say, we have KOLs and leadership around these trials that are very excited about the data to-date and a rational plan forward. In terms of the toxicity, I think obviously, what is really remarkable to-date is the lack of hepatitis, pneumonitis or clinically relevant, high grade hepatitis, which as you know are potentially life threatening and are chronic toxicities of first generation CTLA-4. So, we see this really as different with over 100 patients treated. In terms of colitis, I will refer you to the abstract right now. There will be further safety follow-up on Friday with updated patients and follow-up. But certainly we are confident that the colitis is certainly getting, it’s difficult with cross-trial comparisons of first generation agents. But we feel very good about the colitis in the sense that it appears to be comparable or in the same range as first generation. And we have strategies in our Phase 2 programs to mitigate that further, which we are very excited about. So, more to come with a follow-up safety data, but that’s what I can say about flyers to-date.
Matt Phipps: Okay. Thank you.
Operator: At this time, there are no further questions. I would like to turn the call back over to management for closing remarks.
Garo Armen: Thank you very much for everybody. I think we have had a quite an extensive cold and we look forward to your engagement, additional questions. Please feel free to connect with us. Thank you again.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.